Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to CBAK Energy Technology’s Fourth Quarter and Full Year 2024 Earnings Conference Call. Currently, all participants are in a listen-only mode. Later, we'll conduct the question-and-answer session, and instructions will follow at the time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now, I'll turn the call over to [Yixian Tian] (ph), IR Specialist of CBAK Energy. Ms. Tian, please proceed.
Unidentified Company Representative: Thank you, operator, and hello, everyone. Welcome to CBAK Energy's earning conference call for the fourth quarter and full year 2024. And joining us today are Mr. Zhiguang Hu or Jason, Chief Executive Officer of CBAK Energy, Mr. Jiewei Li, Chief Financial Officer and the Company Secretary, our General Engineer, Ms. Xiujun Tian and [Yven] (ph) who will help with our integration will join us for the Q&A section. We released our result earlier today. The press release is available on the company's IR website at ir.cbak.com.cn, as well as from the Newswire services. A replay of this call will also be available in a few hours on our IR website. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company doesn't assume any obligations to update any forward-looking statements, except as required under applicable laws. Also, please note that unless otherwise stated, all figures mentioned during the conference call are in US dollars. With that, let me now turn the call over to our CEO, Mr. Zhiguang Hu. Please go ahead, Jason.
Zhiguang Hu: Hello, everyone. Thank you for joining our earnings conference call for the first quarter and the full year of 2024. I'm pleased to present the performance of our battery business for the fourth quarter and the full year of 2024. Net revenues for the battery segment increased modestly by 2.7%, reaching $136.59 million for the year. Despite the moderate growth in revenue, our gross profit for the battery segment surged by 37.58%, rising from $31.58 million to $43.05 million. The gross profit margin of the battery segment expanded significantly to 31.5% compared to 23.75% in 2023, marking an impressive increase of 7.7 percentage points year-over-year. We reported a net income of our battery segment of $19.43 million for the year 2024 compared to $13.97 million in 2023, marking an impressive increase of 39.08%. As we have consistently emphasized over the past few quarters, this exceptionally outstanding gross profit and net income figures are particularly noteworthy given the prevailing challenge and downturn in the broader new energy sector. While many of our competitors, including prominent Chinese battery manufacturers are experiencing declining profit, our performance stands in stark contrast. As communicated in previous press release, demand for battery, especially the model 32140 large cylindrical cell remain exceptionally strong. Our current production capacity in Nanjing is fully booked, which means net revenue are likely to remain steady unless additional capacity become available. To address this demand, we are in the process of commissioning two new production lines for the model, 32140 in Nanjing, expected to be operational by the end of 2025. The expansion will add 3 gigawatt hour of production capacity. Additionally, we are upgrading our Dalian facility which currently manufacture the older model, 26650 since 2006. A new product line will be introduced to produce the larger model, 40135 cylindrical battery, adding another 2.3 gigawatt hour of capacity. This upgrade is also anticipated to be completed by the end of 2025. With this expansion and upgrades, we are confident in our ability to achieve substantial revenue growth starting in 2026. I would also like to provide our investors and shareholders with an overview of our current and future product portfolio. We have two primary product line manufactured at our Dalian and Nanjing facilities. The model, 26650, along with its variant model, 26700 and model 32140, both the model 26650 and 26700 and model 32140 are the lipophilic cylindrical cells. The model, 26650, 26700 series developed in 2006 as the world's first lipophilic cells continue to hold a significant position in the market. While this model may be considered outdated in certain aspect, they remain popular in specific segments, particularly in the home energy storage and portable power supply market across Europe and the United States. We anticipate a gradual decline in sales for this model. However, they are expected to contribute to a portion of our net revenues. Additionally, we foresee a shift among major customers from this legacy model to larger cell format, such as model 32140 and upcoming model, 40135. The model, 32140, our flagship product manufactured at our Nanjing facilities, is widely utilized in the portable power supply sector and is rapidly gaining traction in the EV sector, particularly for two-wheelers and three-wheelers vehicles. According to the market research, our 32140 sales per month, 19% of global market share with demand for outpacing our current production capacity. As previously mentioned, we are preparing to launch a new large cylindrical cell, the model 40135. The model is designed to serve the portable power supply and home energy storage sectors. We expected a number of our existing customers for the model, 26650, to transition to this new model. Once model 40135 entered mass production by the end of this year, we anticipate a substantial increase in net revenue for our Dalian facilities. Looking ahead, our production portfolio will consist of small cylindrical cells, model 26650, 26700 from Dalian, and the large cylindrical cells, model 40135 from Dalian and the model 32140 from Nanjing, enabling us to meet the diverse needs of our customers effectively. As always, we will also provide an update on our announced [decline] (ph). As of March 10, 2025, the total value of orders received, but not yet delivered at our major production bases in Dalian and Nanjing has reached RMB126.96 million, approximately $17.54 million. Our accumulated order volume with PowerOAK now stand at approximately RMB87.05 million, about $12.03 million. While our total orders with the Viessmann Group has reached EUR213 million, approximately to $231.2 million. Additionally, our order value with JinPeng Group has grown to RMB75.55 million, about $10.44 million. Notably, our key clients, Anker, has placed orders totaling RMB448 million, approximately $51.82 million. Since the beginning of our collaboration, we believe that the demand from some of these customers in 2025 will likely increase significantly. I would also like to provide a summary of our current product capacity and the plant expansion to offer our investors and shareholders a clearer perspective at present. Our Dalian facility has an annual capacity of 1 gigawatt hour for the model 26650 and 26700, while our Nanjing facility has a capacity of 1.3 gigawatt hour for the model, 32140. As previously reported, we are in the process of expanding our capacity by adding 2.3 gigawatt hour for the model, 40135 at our Dalian facility and the 3-gigawatt hour for the model 32140 at our Nanjing facilities. By the end of 2025, our total production capacity for cylindrical cells is expected to reach 7.6 gigawatt hour. However, it is important to note that it will take time for the newly added production lines to ramp up to full capacity. This means that we may not achieve the full [Technical Difficulty] this year. Nonetheless, the design of this expanded capacity underscores and -- underscores the substantial potential for growth and scalability, offering our investors a promising outlook for the future. Overall, we have successfully sustained strong momentum in our battery business by maintaining a higher gross profit margin and outperforming most of our competitors in term -- in terms of net profitability. We are confident that the battery segment will remain profitable in 2025. In addition, we are actively upgrading our product portfolio and expanding production capacity to address the surging demand. With the new capacity coming online, we anticipate another phase of significant growth in 2026. Now, let me turn the call to our CFO, Jiewei Li.
Jiewei Li: Thank you, Jason, and thanks, everyone for making time to join our earnings conference call today. As Jason has presented the net revenues growth and gross profit figures for our battery segment, I will now provide an overview of our consolidated financial results, which include the performance of Hitrans, our raw materials production unit. In the interest of time, I will focus only on the key metrics rather than discussing the figures in detail. For a comprehensive breakdown of our financial performance, we encourage you to refer to our press release issued earlier today. For the full year, our consolidated net revenues declined by 13.51%, falling to $176.61 million from $204.44 million in 2023. Despite this decrease, consolidated gross profit rose significantly by 31.68%, reaching $41.75 million compared to $31.72 million in the previous year. The gross profit margin improved substantially to 23.7%, an increase of 8.18 percentage points from 15.52% in 2023. We achieved a net income attributable to shareholders of CBAK Energy of $11.79 million for 2024, a remarkable turnaround from the net loss of $2.45 million reported in 2023. This performance demonstrates our ability to generate higher gross profits and achieve positive net income despite lower net revenues. The decline in consolidated net revenues and the lower consolidated net income, especially when compared to the significantly higher net income of our battery segment can be primarily attributed to the performance of our raw materials production unit, Hitrans. The raw materials industry, particularly for those related to lithium ion batteries, has faced declining prices over the past few years, which have since stabilized at relatively low levels. Additionally, the industrial-wide capacity expansion that began in 2021 has led to an oversupply, intensifying competition and creating operational challenges for Hitrans. On a positive note, since acquiring Hitrans in 2021, we have chosen not to integrate its products into our battery segment supply chain. We also retained Hitrans' core investment team to ensure its independence. Moreover, we have fully met our financial obligations to Hitrans, making its financial performance doesn't directly impact our battery segment's results. This strategic separation is why we have focused exclusively on reporting the financial performance of our battery segment during our earnings conference calls. This approach provides our investors and shareholders with a clear and more accurate understanding of our company's core performance. Next, I would like to provide an update on our overseas capacity deployment plan. In response to current geopolitical risks and at the request of our major customers, we are actively exploring solutions to mitigate existing and potentially higher tariffs. In recent months, we have conducted extensive visits to Southeast Asia to evaluate potential size for establishing our overseas factory, which we plan to proceed with in the coming months. We're still assessing whether to relocate part of our existing equipment and production lines or to invest in new equipment as part of an expansion strategy. Our goal is to begin supplying sales from the overseas facility to our major customers by 2026. Encouragingly, these customers have already expressed strong interest in placing substantial orders accompanied by a higher percentage of prepayments. We are currently in the process of finalizing terms with them. Further information will be disclosed once formal agreements are reached. In summary, the underwhelming financial performance of Hitrans have impacted our consolidated results, making them less favorable compared to those of our battery segment. However, we successfully achieved higher gross profits and a positive net income despite lower net revenues. Additionally, we are actively pursuing the establishment of overseas production capacity to meet the demands of our major customers who have expressed interest in placing substantial orders under favorable terms. We remain optimistic and look forward to sharing more positive developments in coming months. Thank you. We will now open the floor for the Q&A session. Operator, please go ahead.
Operator: [Operator Instructions] We will now take our first question from the line of Brian Lantier from Zacks. Please ask your question, Brian.
Brian Lantier: Good evening. Thank you for all that color. It's really interesting to see the progress and have a vision for where the company will be 24 months from now. So I appreciate that. I guess as you're getting ready to expand the product lines, what are you seeing as you're speaking to equipment suppliers in the market? Are you getting any better pricing on some of the equipment that could be coming in? And do you think that could ultimately lead to maybe faster implementation of some of these production lines given some of the challenges that exist in the battery market today?
Unidentified Company Representative: Thank you, Brian. I will translate your question to our team. [Foreign Language]
Jiewei Li: Sorry, I muted myself. Sorry, Brian. Let me directly respond to your question in English. I would say, as for our expansion plan in Nanjing domestically, for the terms and the pricing we get from the suppliers, it's almost the same as that for our competitors. But certainly, we get much more favorable terms with respect to the payment condition and the payment schedule. They allow us to delay a great portion of the payments much later than our competitors can get. And we have already completed the first prepayments and certain equipment has already been sent to Nanjing. As I just discussed in our prepared remarks, we are still assessing if we are going to relocate part of this equipment to our overseas factory or we are just going to simply invest in new equipment. That has not yet been determined. I think that -- I think I already answered your question.
Brian Lantier: Great. Thank you. You have customers around the globe. Are you hearing anything from them regarding concerns about the global economy?
Jiewei Li: We do not hear -- please, Yven, please.
Unidentified Company Representative: [Foreign Language]
Jiewei Li: We do not hear any specific concerns about the global economy from our customers, but we do feel the concerns on the potential and current existing geopolitical risk. Actually, as we just disclosed, we are actually being pushed by our major customers to set up our overseas factory in order to avoid the existing tariffs. And we also hear the concerns from our major customers about their decline of sales in their end applications caused by the decline of economy. But in general, we are still very positive about the future of our -- of the new energy industry especially in Europe and in the United States. A huge potential to replace existing units. I think the concern is more placed on the tariffs and geopolitical risk.
Brian Lantier: Great. And lastly, on Hitrans. Obviously, it's a difficult market right now. Are you still exploring any possible divestiture of that business?
Unidentified Company Representative: [Foreign Language]
Jiewei Li: As we have already expressed, Hitrans industry, industry Hitrans is now experiencing a downturn. So we would not extend any new investments in Hitrans.
Brian Lantier: Okay. Great, thank you. I’ll let someone else go.
Operator: [Operator Instructions]
Jiewei Li: Sorry, I just dropped the line.
Operator: Thank you, Mr. Jiewei Li, we are still waiting for questions. [Operator Instructions] I see no more questions in the queue. Let me turn the call back to Jason for closing remarks.
Zhiguang Hu: Thank you, operator, and thank you all for participating in today's call and for your support. We appreciate your interest and look forward to reporting to you again that quarter on our program.
Operator: Thank you all again. This concludes the call. You may now disconnect.